Executives:  Gary Sharpe – Head of IR Seth Grae – President & CEO Andrey Mushakov – EVP, International Nuclear Operations Jim Malone – Chief Nuclear Fuel Development Officer 
Operator: Hello. And welcome to the Lightbridge Corporation 2012 Third quarter results conference call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note that this event is being recorded. I now would like to turn the conference over to Gary Sharpe. Mr. Sharpe, please, go ahead. Thank you, Keith. Good morning ladies and gentlemen and welcome to the Lightbridge 2012 third quarter business update. Our earnings news release was distributed after the market closed yesterday and can be viewed on the investor relations page at Lightbridge website at ltbridge.com. Seth Grae, President and Chief Executive Officer will lead today’s call and in addition, the following executives will be available to answer your questions. Jim Guerra, our Chief Operating Officer and CFO; Jim Malone, the company’s Chief Nuclear Fuel Development Officer; and Andrey Mushakov, Lightbridge’s Executive VP for International Nuclear Operations. Before Seth begins, of course, we need to remind you that today’s presentation includes forward-looking statements about our competitive position, product and service offerings. During the course of today’s call, words such as expect, anticipate, believe and intend will be used to in our discussion of goals or events in the future. These statements are based on our current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from these estimates. The risks include that are not limited to the degree of market adoption of the company’s product and services, market competition, dependence on strategic partners and the company’s ability to manage its business effectively in a rapidly evolving market. Certainties and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. The company does not assume any obligation to update or revise these forward-looking statements whether as a result of new development or otherwise. As the operator indicated, please submit your questions in writing to ir@ltbridge.com. We’ll read your questions aloud and answered by the senior management. If you have already submitted a question, thank you. But if not or if you have more questions, you can submit them at any time during the prepared remarks or doing the Q&A session at, again, ir@ltbridge.com. Now, I’ll turn the call over to Seth Grae, President and CEO of Lightbridge.
Seth Grae: Thank you, Gary, and good morning everyone and thank you for joining us on our 2012 third quarter conference call. The company is achieving key strategic milestones in the development of our next-generation fuel technology. Moreover, Lightbridge is involved in new bidding opportunities that could result in domestic and international contracts for our advisory services division. All of these developments are occurring at a time when there is solid positive momentum in the commercial nuclear energy market globally. Nuclear energy is increasingly recognized as a source of long term efficient base load and carbon-free electric power. In short, we believe Lightbridge is very well positioned for success 2013 and beyond. In the near term, Lightbridge’s pipeline is filling with opportunities to provide comprehensive and integrated counsel, commercial and governmental entities that developing nuclear power programs. The prospect for increased consulting revenues is real even though the sale cycles for these multimillion dollar contracts takes time. Most of these high potential opportunities are in Europe and in the Middle East where Lightbridge is already a highly regarded expert resource on nuclear reactor site selection, procurement and deployment, reactor and fuel technology and international relations and regulatory affairs. The success of Lightbridge’s advisory services division speaks for itself, beginning in 2008, our experts structured a program for entities within the United Arab Emirates. Construction of this $40 billion for reactor project is underway, and remains on time and budget. In addition, Lightbridge’s consulting contract with the nuclear regulatory authority in the United Arab Emirates was recently renewed and extended to the end of 2014. Slightly longer term, Lightbridge is developing patented next-generation nuclear fuel technology that addresses the major strategic issues to confront utilities the world over. Falling prices for electricity at a time of rising construction cost for new generation capacity. How do we know the challenges faced by nuclear utilities? We ask them through the Lightbridge Nuclear Utility Fuel Advisory Board. We are working closely with representatives from four of the largest nuclear utilities in the United States. Their fuel manager counsel off on how our fuel can enhance the economics of plant operation. Based on projections by the US Energy Information Administration, electricity from natural gas and coal-fired plants in 2015 would cost more than twice as much per unit of electricity as the incremental electricity generated by an existing reactor after implementing a 10% power-up rate and a 24-month cycle using Lightbridge’s metallic fuel. That differential is even larger if power costs are compared with renewable sources; solar and wind. Of course, both natural gas and coal-fired generation discharge substantial amount of carbon dioxide into the atmosphere compared to almost zero CO2 emissions from nuclear energy. The other indicated benefits of Lightbridge’s nuclear fuel technologies are numerous and compelling. First, our patented technologies can help nuclear utilities generate more electricity from existing or new built plants without increasing the reactor pressure vessel dimensions. We believe that our fuel will allow currently operating and new build bite [ph] water reactors to generate up to 17% and 30% of increased electricity output respectively. Next, our fuel can dramatically improve the life cycle economics of existing and new build nuclear power generation through power-up rates and by extending operating cycles from 18 months to 24 months in the case of a 10% upgrade in existing plants. This means that the plants will be shut down for refueling less frequently so they can sell electricity more often. In addition, Lightbridge’s fuel technology can reduce the volume of nuclear waste per unit of electricity generated. Finally, we believe our fuel designs will enhance operating safety through improved heat transfer and structural integrity of the metallic fuel rods as well as reduce the operating temperatures. For example, the average operating temperature of Lightbridge designed metallic fuel rods in a 1,600 megawatt EPR reactor, with a 30% increase in power output would be approximately 380 degrees Celsius. Nearly 1,000 degrees cooler than the average operating temperature of conventional uranium oxide fuels. We believe that the lower operating temperature and improved heat transfer characteristics of our metallic fuel will increase reactor design margin and reactor safety during normal operation and design base of accidents. Let’s turn to key fuel developments achieved during the third quarter. The company has completed what we understand to be the last key step in obtaining Part A-10 export authorization prior to that authorization being granted by the US Department of Energy for proposed collaborative work in Russia with Rosatom entities. The last step of this export authorization review process was achieved when Rosatom recently provided non-proliferation assurances to DOE. Lightbridge also secured final approval from Russian fuel fabricator [inaudible] relating to fabrication of Lightbridge design metallic fuel samples for irradiation testing in the mere research reactor in Dimitrovgrad Russia and the advance test reactor at Idaho National Laboratory. We are in advance stages of contract negotiations with TVEL and subsidiary companies. We expect these negotiations to be completed in the next few months. Lightbridge remains on track to begin loop irradiation in 2013 of company’s metallic fuel samples at the MIR reactor. Research and discussions on irradiation plans continue with authority at the Dimitrovgrad test facility. These irradiations will be performed under prototypic pressurized water reactor operating conditions and will provide data needed for regulatory licensing and demonstration of Lightbridge design, lead test assemblies in a commercial pressurized water reactor. Irradiated samples from this program at the MIR reactor will also be used for additional out-of-reactor tests to demonstrate the metallic fuel’s behavior during severe accident scenarios and provide proof of the safety benefits of Lightbridge-designed fuel. Advances have been made in experiment planning and design for irradiation testing of Lightbridge metallic fuel samples in the advance test reactor at Idaho National Laboratory. The teams have agreed on a single fuel rod design that is compatible with both a capsule irradiation rig and a loop irradiation rig design that addresses uncertainty around reactor availability between now and when fuel samples are delivered to the laboratory. Lightbridge has also made progress in ongoing negotiations with fuel fabrication partners relating to metal fuel fabrication and demonstration work in the U.S. We believe these negotiations will conclude in early 2013. Having our fuel fabricated in the U.S. which streamline production for a major segment of the fuel’s addressable market. As we disclose earlier, we expect to enter into commercial arrangements with major nuclear fuel fabricator companies by 2015. To reiterate, our projected timeline for testing our fuel for western pressurized water reactor is four primary components. Irradiation testing and test reactors in 2013 to 2016. And secondly, additional testing on irradiated fuel samples in 2016 to ‘17, and then out of reactor testing in 2013 to 15 and lead test assemblies in commercial pressurized water reactors beginning in the 2017 to ‘18 timeframe. Subsequent to the end of the third quarter, you may have seen our recent announcement that a pure reviewed article on the company’s fuel technology will be published in the December 2012 issue of the prestigious journal nuclear technology. The article, which is available through the American Nuclear Society website, ans.org, highlights how our fuel is capable of increasing the power output and extending the fuel length of current generation light water reactors. The paper also reviews the unique geometry and composition of our metallic fuel and its application to power-up rates in light water reactors, which include pressurized water reactors. Submitted in 2011, the paper was subject to rigorous peer review by top industry scholars. Its publication provides further validation of the Lightbridge fuel technology at an important stage in company negotiations and fuel fabrication for 2013 test at research reactors in Russia and the U.S. In the meantime, the addressable market for Lightbridge fuel technology continues to grow. Electricity generation from nuclear power worldwide has reached a record level. The World Nuclear Association estimates that at least 73 gigawatts and new capacity will be added by 2020 bringing global operating capacity to around 450 gigawatts up from around 372 gigawatts of electricity before the Fukushima incident in March 2011. We now have a better understanding of Fukushima. In addition to the earthquake and tsunami, human error contributed to the plan’s destruction. Yet, Japan has brought other reactors back online because its utility industry incurred billions of dollars of losses from importing fossil fuel to keep the lights on. The economies of long-term efficient base load and carbon free electricity from nuclear power are undeniable. According to the nuclear energy agency, there are more nuclear reactors under construction now and before the Fukushima accident and hundreds more are planned to go into operation by 2035. Today, there are approximately 435 active nuclear power reactors operating in 30 countries based on data compiled by the World Nuclear Association. That number is expected to grow steadily with more than 80 reactors under construction right now around the world. And all, more than 150 new reactors will be completed by the end of 2016. With another 330 proposals pending approval, mostly in China and India. In the United States 20 proposals for reactors or pending and four are planned in the United Kingdom, the Czech Republic, Poland, Slovakia, Romania, Ukraine, Finland and Sweden, also have plans to build new reactors within the next decade. Now, let’s move on to the company’s financial performance during the quarter. Our financial results were summarized in the news release that was distributed after the market closed yesterday. The results are also posted on the Lightbridge website. I won’t recite all the details now, except to report that at September 30 of 2012, Lightbridge had $5.7 million in cash, cash equivalents and marketable securities, working capital totaled 5.6 million with no long-term debt. In fact, the company has never incurred long-term debt in its history. We are sometimes, as of Lightbridge needs, additional debt or equity capital to continue to support R&D of our fuel technology. The short answer is no, not now. Furthermore, we are reluctant to diluted shareholder value or compare the balance sheet particularly when we expect significantly increasing revenue from new consulting contract in the coming months. Now, let us open the call for your questions. Gary have showed me a few of these questions come in during the call, but they look very interesting. We look forward to answering them. Remember, if you want to ask a question, please submit it now to ir@ltbridge.com. And Gary Sharpe who’s in charge of investor relations here has collected several questions, and I’ll read the first question.
Gary Sharpe: Sure. I’ll assign the answer to these questions as we go forward. Let me start with this one. You report positive news and progress towards strategic milestones and active participation in investor events. Yet, the price of LIBOR shares have sunk to new 52-week low. Should I be worried?
Seth Grae: We’ve been consistent in outlining our strategic milestones. We believe the key to the company’s future will be success at each specific stage of development. On this call, we’ve discussed steps the company has recently achieved relating to the reviewed article, goes on approval to DOE relating to Part 810 Export License, work towards making the fuel for the U.S. and Russian reactor test, and there are important steps to come up. What one thing Gary showed me earlier this morning, there was erroneous report on the internet that said LTPR estimates by 0.10, which is mistaken. That’s an incorrect report. It might explain some of the stock movement that happened earlier this morning. And what do stockholders do? There are very important milestones coming up and we’re very confident.
Gary Sharpe: Thank you, Seth. Okay. Next question. As long-term shareholders, we know that it takes time to develop and commercialize Lightbridge’s next generation nuclear fuel. The consulting business that Lightbridge historically has funded the R&D side of the business over the past few quarters. But investors have seen revenues in cash balance decline. Regarding the consulting business, please provide revenue projections for the consulting business. And what countries or regions you’re targeting for consulting work and any other ways you plan to boost the consulting business or generate more revenue. This is a multi-part question, clearly. And then there are some two-faceted question about the company’s cash position. But let’s take the first half of the question first about the consulting business. Seth?
Seth Grae: Okay. Well, there’s a lot there. We have not put out revenue projections for the consulting business. What we do hope to have in the first quarter could start to match what was peak in revenues before Fukushima with the new contracts that we’re working on or hoping to land. As for countries, regions we’re targeting. As I’ve said on previous calls, countries don’t want us to announce their nuclear power programs for them but as we said in the script, the focus right now is on countries in Europe and in the Middle East. There are also some contracts that could be a bit longer term until they’re done that we’re talking about in Asia, and then longer term beyond that in South America and in Africa. But mostly, right now, it’s Europe and Middle East. We also have some new small consulting revenues in the United States from a couple of clients and in the Middle East. But those are small new clients that could grow in the future. On the question on plans to boost consulting revenues and generate – in addition to what I’ve just said, there’s also for potential expanding work with our existing clients.
Gary Sharpe: All right. Now let’s move on to the questions about the cash position. The caller is asking, Lightbridge has used about $3 million in cash this year. If this trend continues, Lightbridge would be able to fund itself sometime in 2013. How will Lightbridge continue to fund itself and would you contemplate an equity raise with the stock trading at 52-week lows?
Seth Grae: No. We’re not contemplating an equity raise at 52-week lows and even if the stock price were significantly higher right now, we’d have to really think before we decided we would do an equity raise. That is not in our planning right now. What we’re expecting is higher cash balances through new and increasing consulting revenues. There really was a hit to our business from Fukushima from countries that were about to sign with us that stopped their planning for nuclear power after that March 11, 2011 disaster at Fukushima. That really are back now. And we think that’s the way to go. The purpose of our consulting business is manifold including important strategic advantages. But mostly, it’s for the revenue to pay the overhead of the company and for our nuclear fuel development and we expect to be hitting that purpose again.
Gary Sharpe: Okay. Next question from a caller. How or why did you have such a huge decrease in revenue in the third quarter compared with the third quarter of 2011?
Seth Grae: Well, I’ll give a little more specific answer than just a drop-off from Fukushima. Two answers; one sort of a quarter-to-quarter answer and one, sort of a year-to-year answer. On why the drop-off in the third quarter this year as compared to the immediate quarters preceding it. Our contract with the Nuclear Regulatory Authority in the UAE, as mentioned during the call was – during the script was extended to the end of 2014 with new provisions that can keep it being extended year by year in the future beyond that, which we expect will happen. But the contract change also required new approvals for our work before we could do the work and start building again. And that took a few months to receive. So our revenue dropped off a cliff while we were waiting for those approvals to come and our work could pick-up. But those approvals are now done and the revenue is now back. The quarter is during the summer in the Middle East and it’s hard to get some things done. Their approvals particularly with so many key people on vacation which I think was part of that too. On a year-to-year basis, when you look at the third quarter, a lot of the revenues that was peaking in the third quarter last year was from our work for the Gulf Cooperation Council, which consists of Saudi Arabia, Kuwait, the United Arab Emirates, Qatar, Oman and Bahrain. And that work went very well. We had good revenue from that and then that stopped after, again, as an effect of Fukushima. But that’s one of the areas that are coming back now to looking at getting back into nuclear about that we’re talking to when talking new revenues with.
Gary Sharpe: Okay. Here’s that question that just came in. Is the company open to an acquisition of its patents by companies including Westinghouse, GE or [inaudible] is that anyway part of the business strategy.
Seth Grae: The companies plan is to operate as a company and on the fuel side, as a licensing company licensing these patents to those companies and their competitors. And certainly, of the stock prices, we would not even consider an equity sale paid today, stock prices where today you’re not contemplating an asset sale which would effectively be selling the main upside of the economics of the company. We would, in the future, and if and [inaudible] were made at what we thought was reasonable pricing for the stockholders which would have to be enormously higher than today’s pricing. Of course, take that to the board of directors, where the recommendation for management. We would then go to the stockholders with a recommendation from the company and that would be up to the stockholders. They would decide. And when it is, that ever happens, we’ll get to it.
Gary Sharpe: Okay. Here’s another question. What happens after Part A-10 Export Authority has been Part A-10 export authority has been granted?
Seth Grae: Well, our work Rosatom requires Part A-10 authorization from – it’s the US counterpart, the US Department of Energy. That work will include fabrication of our metallic fuel for testing in the US and Russian reactors next year. Those tests will provide data, including power operates, longer fuel psychos and safety improvement and in that data is what the regulatory authorities, like the NCR and the US need to see that they approve the fuel for using commercial reactors and that date is also what the industry needs to see to then decide to use the field commercially. And then we’ll start licensing the fuel end to the industry.
Gary Sharpe: All right. Another question. What’s the outlook for nuclear energy policy in the next congress. Are there any concerns or if you know industry initiatives that investor should know about.
Seth Grae: Well, yes. First is overall bipartisan support for nuclear power in Congress, not everybody in Congress but overall in both parties. And I expect that will continue. The house in the senate have a few more democrats that will have a few new Democrats in January, with the results of the election that are probably at least, a bit more concerned about climate change then who they’re replacing. That’s good for nuclear, which admits new outside. Maggie, will have a few new Democrats in January with the results of the election that are probably at least a bit more concerned about climate change, then you they’re depressing. And that’s good for nuclear, which she admits no carbon dioxide. Our main area of focus will probably be on the Blue Ribbon Commissions report on recommendations how to finally store spent fuel in the United States and we expect Congress will be taken that up. Industries also paying attention to the administrations, negotiations for one to three agreements for nuclear cooperation between the US and Saudi Arabia, Vietnam and others and a renewal of our 1,2,3 agreement with South Korea. All of which would need to go through Congress before US firms could sell reactors to those countries. And for Lightbridge, our work is mostly in the private sector. I worked with the government is mostly – what, the administration and is going well, Part A-10 export authorization and I see no red flags in Congress for what we’re doing.
Gary Sharpe: Okay. Here’s that question that just came in over the internet. It speaks to loop irradiation test at the advanced test reactor. I’m not sure this wording is correct but the callers questioning why did the ATR, reject Lightbridge for loop of irradiation.
Seth Grae: The ATR did not reject Lightbridge for a couple radiation, the ATR accepted Lightbridge for loop irradiation. Reactors have certain fuel cycles when stopped and they’re all bent up to put fuel test into them. Some of these – sometimes, where you can do at what’s called the loop irradiation and sometimes it’s what’s called a capsule irradiation. So we’re preparing fuel for both, and depending on the timing of when the fuel gets there. We start to go in to what we can, get into first. But we will have loop irradiation. It is absolutely untrue. If anyone told you we were rejected for loop radiation. That is completely false.
Gary Sharpe: There’s a related question about what happen to the safety analysis. Those colors and questions are a little vague. But I think that’s related to his previous question.
Seth Grae: Okay. There are safety analysis of the fuel, and let me ask Andrey Mushakov and then Jim Malone who are working on those to answer that. First, Andrey?
Andrey Mushakov: Yes, sure. I assume that the question relates to the ATR safety analysis for using our fuel for irradiation based in Idaho National Laboratory. As we have previously communicated, the team has decided to select one single fuel rod design that can be used either for capsule loop radiation based on the ATR. And basically all of the preliminary safety analysis for that particular design so far have been completed and haven’t reduced any sort of show-stoppers or any technical issues that would prevent our fuel from being best in the advanced test reactor at Idaho National Laboratory.
Seth Grae: Jim Malone, our chief nuclear field development officer, is on by phone from travel. Jim, do you want to add to that.
Jim Malone: I think Andrey has accurately presented the situation with respect to the best reactors. If the question is related to the largest scale safety analysis, are those will be completed when we have the data from the test reactor works. So, I don’t see any problems nor do I anticipate any problems at all with respect to the area of safety analysis.
Seth Grae: Yes. It’s like what we’ve seen on the safety analysis. There is nothing about it that goes against what we’ve been saying. We’re a thousand degrees cooler and metallurgically bonded clotting on the – rather significant safety advances, we expect the test and the reactors and the post radiation reactor examinations after the test will show.
Gary Sharpe: The caller is also asking about the DOE independent verification study. What’s the status there? And then also what’s the status of rehatch?
Seth Grae: First of all, the analysis I think the caller is referring to was on thorium-based fuel that was done but then the government decided not to publicly release. Having seen some of this, I could tell you there was nothing negative about it, in fact after it. We got the approval to go into the largest test reactor by the government and the United States. But Andrey, I don’t know if you want to add to that.
Andrey Mushakov: Well, I think people describe this pretty accurate. As far as we know, that particular study that was on our thorium-based blanket fuel design was never made public by the U.S. Department of Energy. And we haven’t seen anything instead. The study was done back in 2011, I believe, last year. But they never made it public. They only circulated it within the U.S. National Labs.
Seth Grae: I think they should make it public. It’s getting harder, particularly with new regulations and concerns that are still coming out following 9/11 to have certain nuclear data made public. I think that might be caught up relating to that even though there is nothing that we see specifically could related to it other than just nuclear reports from government. It takes a long time to get through approvals processes sometimes.
Gary Sharpe: And then the last facet of this caller’s question is what happened to Read Hatch?
Seth Grae: Read Hatch was a bill that was specifically referring to thorium fuel, and they had introduced it in the Senate more than once. And it was at the time when literally nothing was getting through final passage in the U.S. Senate, virtually everything was being blocked. Harry had said to once he thought his mother’s day resolution might get blocked. And I think that also it’s tied up in a smaller bill like that could be attached to a bigger bill in the end. And no bigger bills got through, like and overall energy policy for the United States. So, I don’t think that bill will be reintroduced in the congress because we want it to be, because our main focus isn’t on thorium fuel; it’s on the metallic fuel which it doesn’t have thorium at all. We still have thorium fuel or still developing or still promoting it. The main focus is that utilities are telling us they want power operates, they want longer fuel cycles and a dramatically enhanced safety. And that’s what they want to pay for. So, that’s what we’re focusing on, the thorium fuel, which does even more so on non-proliferation and reducing spent fuel and reducing toxicity of spent fuel is not what they’re telling us they want to pay for. So, that’s not the kind of thing we’re pushing for added government support. But as I said also, an earlier question, our main work with government is with the administration. It’s within law that already exist the appropriations that already made, authorizations that are already made, budgets already made for national labs and their reactors, the Part 810 Export Authorization. And none of that requires any bills to get introduced in Congress, none of that requires any congressional action. That’s all within the administration and that’s where our focus is and that’s where part of the success of the metal fuel will come from.
Gary Sharpe: All right. Here’s a follow-up question from earlier caller, with the share price at this level, does anyone in management plan on buying shares on the open market?
Seth Grae: Well, first of all, I don’t think we at management are going to say in advance at what would be public disclosure under Form 4. And certainly, there are blackout period leading up to this very phone call that can be ending after this call. But certainly management has bought stock over the years. In fact, everyone in senior management has figure buys over the years and no sales other than some that were corresponding to cover taxes at the same moment. But basically, that is a possibility. And many of us at management do an equivalent, which is elect to take some of our compensation and equity.
Gary Sharpe: Okay. This looks like this could be the last question. Since we’ve recently announced the publication of the peer review journal article in nuclear technology, we’ve gotten several questions asking us about the availability of the full article. And so, that relates to this caller’s question. It says, “Can I get a copy of this article?”
Seth Grae: Okay. At the ans.org website, the American Nuclear Society website, you can go to nuclear technology, which is the most prestigious nuclear technology journal that is pure reviewed. And in the December 2012 issue, see the link to our article. And when you click on it, what it will say is that you can buy it if you’re not an ANS member and download it. Or you can buy it at a discount if you’re an ANS member or get it for free if you’re subscribed to that journal. There will also be a hard copy of the physical journal published in December that you can also buy on that website or go to scientific libraries that have it and see it for free in the libraries. We want to put it on our website. We want to send it out to our stockholders. However, the American Nuclear Society rules are that we are allowed to do that six months after the December publication day. So, between now and June, you have to buy it or go read it in a library or from a friend that subscribes. And we will make it publicly available for free six months after that December publication date.
Gary Sharpe: Hey, operator, I’ve seen no additional questions in our queue. So, I think we can move to the final segment of today’s call. Seth?
Seth Grae: Well, I’ll just say on wrapping up the call that momentum is building globally throughout the commercial nuclear power market. Lightbridge is well position to serve this growth with next generation fuel designs and expert advisory services. My Lightbridge colleagues and I work every day to translate that opportunity and to shareholder value. If we can elaborate on any aspect of Lightbridge’s operations, financial performance or strategic direction, our lines are always open at IR at Ltbridge.com or call 571-730-1213. Thank you. We look forward to our next quarterly business update. And early March 2013. Good bye.
Operator: Thank you. This concludes today’s teleconference. You may now disconnect your phone lines. Thank you for participating and have a nice day.